Operator: Good day, ladies and gentlemen, and welcome to the LHC Group Fourth Quarter 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today's conference Mr. Eric Elliott, Senior Vice President of Finance. Please go ahead.
Eric Elliott: Thank you, Christie, and good morning, everyone. I'd like to welcome you to LHC Group's earnings conference call for the fourth quarter ended December 31, 2018. Everyone should have received a copy of our earnings release last night. I would also like to highlight that we have posted some supplemental information on the quarter full-year 2018 and our guidance for 2019 on the quarterly results section of our Investor Relations page. The supplemental deck as well as a copy of the earnings are released, the 10-K and ultimately a transcript of this call are available can be found on this page. Our supplemental deck includes all of our reconciliations and breakdown of the adjustments. We will refer to these non-GAAP measures during our call today. In a moment we'll have some prepared comments from Keith Myers, Chairman and Chief Executive Officer; Josh Proffitt, Chief Financial Officer; and Don Stelly, President and Chief Operating Officer. Before we start, I would like to remind everyone that statements included in this conference call in our press release and in our supplemental financial information may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These statements include, but are not limited to comments regarding our financial results for 2018 and beyond. Actual results could differ materially from those projected in forward-looking statements because of a number of risk factors and uncertainties which are discussed in our Annual and Quarterly SEC filings. LHC Group shall have no obligation to update the information provided on this call to reflect subsequent events. Now I'm pleased to introduce the Chairman and CEO of LHC Group, Keith Myers.
Keith Myers: Thank you, Eric, and thank you, everyone for dialing in and participating in this morning's call. For the last few months we have talked a lot about how important it has been cross to take the right steps with the integration of Almost Family and how well prepared we were for that integration to ensure we remained in growth mode. Lately, you've also heard more from us on how the in home healthcare industry is positioned in the broader healthcare landscape is changing for the better in the eyes of the government, managed care, payers and joint venture partners. We are also repeatedly made the correlation between industry-leading quality to organic growth and an increasing joint venture value proposition. We have another quarter of results to backup these discussions. In our 2019 guidance now in place we have more clear evidence that we have a valuable and sustainable business model that is built on our strengths. Our partners are speaking openly about the value we create for them. The negotiations we are having with patients are yielding improvements on rate and margin as we work with them on innovative model arrangements. And as evidenced by the recent Bipartisan Senate Legislation we're seeing as having a critical role and delivering superior outcomes in a more cost effective setting in post-acute care. Let's start with our integration activity on our Almost Family acquisition. At this point, we are past looking at this as two separate companies. We're all one family instead of two separate companies, quite an achievement in less than a year. We're ahead of schedule on this integration and we achieved greater costs entity than we had originally anticipated in 2018 and an increased our target for 2019. This will help us potentially reach $25 million to $30 million in run rate cost synergies in the back half of 2019. I noted last quarter that we were in the transformation phase of the integration. What does that mean exactly? But a good example would be finishing off the conversion of all acquired agencies to the LHC Group instance of Homecare Homebase to be able to more quickly deploy our proven workflows and processes that draw continued improvement in margin and quality scores. This conversion is on track to be finished by the end of the third quarter and you can see the effectiveness of these early efforts in the sequential improvement in margins and quality scores. The Almost Family integration is one of several we have ongoing. We're in various stages with joint ventures we announced in 2019, including the expansion of our existing partnership with LifePoint in North Carolina and Virginia in December. We followed up an active year of acquisitions, a record $822.6 million in fact, with the Unity Health partnership in Arkansas in late January and this week's announcement of a partnership with Geisinger and AtlantiCare in Pennsylvania and New Jersey. In each case, our ability to show these partners a very compelling value proposition backed up by national scale was a critical factor in their decision making. We expect more of the same for M&A activity in 2019 with both large and smaller partners. Our acquisition pipeline is robust and we continue to review 15 to 20 highly vetted transactions at any given time. LHC has the benefit of a low leverage balance sheet with increasing free cash flow along with the proven capabilities to quickly and fully integrate these acquisitions. It will be a major component of our growth going forward. As I noted last quarter, if we assume acquisitions will be between $100 million to $150 million each year, a number that is certainly achievable based on our past results, this free cash flow would allow us to remain under 2x leverage for the next few years. One final note on growth before I speak to recent events on the regulatory front. I can't help, but be excited about the number of organic and inorganic growth opportunities ahead of us this year and next. I look forward to sharing more of this news as the year progresses. Now to recent events on the PDGM model, or Patient-Driven Grouping Models. There are certainly other developments that we are tracking on the regulatory front and Bruce Greenstein and Josh have been very active as it relates to new initiatives from the government and innovative care models with payers. What everybody wants to talk about is PDGM, so let's spend some time on what's new there. Lately in my role as Chairman of the Partnership for Quality Home Healthcare, we have been very active working with CMS and members of the U.S. Senate and House on specific legislation to modify CMS's approach to prospective behavioral assumptions. This is a united front within the industry and I'd like to thank all of those providers, both large and small, who have actively lobbying their members of Congress and continue to do so each day. This has been a team effort throughout on the lobbying and advocacy side. Last quarter, we talked about several bipartisan bills that had been introduced in the Senate and the House that address various aspects of the industry's concerns about assumptions CMS had made to ensure PDGM is budget neutral as required by the Bipartisan Budget Act of 2018. In mid-February, the latest bill was proposed by several of these Senator, seven of them in fact from both sides of the aisle that intends to do several things. One, require Medicare to implement rate adjustments for Home Care to be based on evidence and adjusting those rates only after behavioral changes that affect Medicare spending or observed. Currently CMS is assuming behavioral changes before they occur. Number two; phase in any observed behavioral changes. No more than 2% per year to maintain budget neutrality. And number three, allow the homebound requirements to be waived when a Medicare advantage plan or an innovation center program determines that provided Home Care improves outcomes and reduces spending. Additionally, Senator Collins of Maine, Cardin of Maryland, introduced bipartisan legislation called the Home Health Planning Improvement Act that would allow non-physician providers such as physician, assistants, nurse practitioners, clinical nurse specialists, and certified nurse midwives to certify eligibility for Home Health services. The industry whole heartedly supports both pieces of the legislation and we expect there will be companion bills in the House that would be modified in a similar fashion. We don't have a timeframe on when ref these bills will be taken up for consideration, but the ground swell of support for the industry has never been greater. We're confident that legislation can be achieved before PDGM goes into effect in January, 2020. We are 24/7, 365, healthcare organization that never sleeps and it is counted upon to always be there to meet the needs of those we are privileged to serve in communities throughout our country. I would like to thank our many clinicians and administrative support personnel who consistently exceed expectation in their respective areas of responsibility. We know that each of you is valued and appreciated for all that you do for those we serve and for your professionalism and congeniality. It is truly a privilege and an honor for me to be part of your team. Now, here's Josh to provide some color on our financial results and guide the 2019 Josh?
Joshua Proffitt: Thank you, Keith, and good morning, everyone. Thank you all for joining our call. As always, I like to begin my prepared remarks by saying how much I appreciate all of our clinical professionals across the country for what they do each and every day to provide high quality care and service to the patients and family just care for. I would also like to thank our family members from Almost Family and our Home Office Support teams who have worked tirelessly to ensure a smooth and successful transition. To you all, a very heartfelt thank you for all that you do that makes our LHC Group family so special. With our supplemental financial information posted on the website and providing more detail on the breakdown among sector performance, guidance and assumptions, I would like to focus my time this morning on the larger themes evident in our results and the 2019 outlook. For the fourth quarter financial results, here are the big takeaways. The strong finish to the year on the fourth quarter pushed us to the top end of our adjusted EPS expectations for 2018 due to strong admissions growth and solid cost management within our general and administrative expenses. We are in $1.03 per share of adjusted EPS in the fourth quarter, bringing us to $3.55 for the year. By hitting the top end of our adjusted EPS range, we were able to deliver a 14.5% accretion from our previous EPS guidance range prior to our acquisition of Almost Family. We were above our target for the year with realized cost synergies achieving $13.8 million in 2018 as compared to our expected range of $8 million to $12 million. The incremental margin improvement in the business and the ability to tap this embedded growth or evident in our results as we experienced sequential and year-over-year improvement across our segments throughout the year, particularly in the fourth quarter. Organic growth was strong in Home Health and Hospice yet again, as we maintained our industry leading quality and patient satisfaction scores and continue to raise the scores at the Almost Family locations. The strong year gives us added confidence in our initial outlook for 2019 and the expected adjusted earnings growth of 18.3% at the midpoint of our range, more on that outlook in a moment. Recall that our focus during 2018 has been on operational stability, but we have already shown accelerated growth year-over-year as we generate more revenue growth and capture incremental margin from improving the operations of our acquired locations. This positive trajectory sets us up well for 2019 and beyond. Turning to Page 9 of the supplemental deck, I would know that our adjusted consolidated gross margin of 36.9% in the fourth quarter was an improvement year-over-year. Consolidated adjusted G&A expense as a percent of revenue was 26.6% in the fourth quarter, which was down from the third quarter of 27.5% and from 28.7% and the same period a year-ago. Our adjusted consolidated EBITDA was 10.2% that was up both 70 basis points sequentially and 210 basis points year-over-year. One important point to highlight in our fourth quarter results is that as part of our strategy to optimize the portfolio, we did close 22 locations that represented a total of approximately $30 million in revenue and a contribution loss of approximately $2 million. We encouraged some severance costs, lease termination fees and impairment costs related to intangibles in connection with those closures. All of these costs were accounted for in our adjustments. This was the right move for us to take to close down these unprofitable locations and put us on a great trajectory in 2019. The details of those adjustments can be found on Page 10 of the supplemental deck. This improvement across all metrics was broad-based. Pages 11 through 16 of the supplemental deck how loud the results and Page 7 notes the key staff by segment. Turning to Page 22, we've outlined a number of our debt and liquidity metrics as well. Adjusted free cash flow was up 108.4% to $110.2 million for the year as compared to adjusted free cash flow of $52.9 million in 2017. DSOs improved to 45 days from 46 days in the third quarter and from 51 days in 2017 as we continue to improve our collections on managed care receivables and receivables from the Almost Family acquisition. We would expect DSOs to remain close to that range if not slightly below in 2019. Our balance sheet remained strong with leverage at 1.2x adjusted EBITDA year-end. With $240 million available on our credit facility and an accordion feature that can provide an additional $200 million of capacity. We are well-positioned to remain in growth mode on the acquisition front for the foreseeable future. On Page 17 of the supplemental deck, we've outlined our guidance for 2019. At the midpoint of this range we're expecting adjusted EPS growth of 18.3%, net service revenue growth of 16.3% and adjusted EBITDA growth of 32.7% as compared to 2018. The key assumptions are listed as well, but I'll call your attention to the cost synergies we are expecting from the AFAM acquisition of $12 million to $17 million in 2019. Our stated guidance is based on $25 million in realize synergies but we believe that we have the potential to reach $30 million by the end of the year. This would naturally equate to get to a quarterly run rate synergy that higher on the second half of 2019. There are two other factors to remember in our guidance, especially in terms of the expected revenue. The first is that we are expecting a 1.2% increase from the 2019 Home Health Medicare PPS update. The second is that 2018 included the results of the 22 locations that we closed in the fourth quarter that I referenced earlier that represented nearly $30 million of annual revenue. That revenue is not included in our 2019 guide. As we look ahead to 2019 we know the playbook about his word best for LHC Group over the years. Industry-leading quality scores, strong organic growth and capturing incremental margin improvement from acquire locations. You will see much more of that this year. You can also expect to see us maintain a disciplined approach to capital allocation, accelerate our plans for upside opportunities from building out our national platform, maintain momentum from innovative model arrangements with managed care initiatives and maximize the value of our healthcare innovations business. That concludes my prepared remarks. And I'm happy to further answer any questions during the Q&A section. I'm now pleased to turn the call over to Don.
Donald Stelly: Thank you, Josh, and good morning, everyone. Yes, what a great year for LHC Group in 2018 and we have another year of growth ahead of us in 2019. As my colleagues, I too want to thank our 32,000 team members who make that happen each and every day. We are executing well on all fronts with the Almost Family integration, organic growth and our quality scores again show sequential improvement. How best to judge our progress in these areas. We'll let the results speak for themselves. For the Almost Family integration we have compiled the key performance indicators we are tracking. We've listed these KPIs in our new supplemental information on Page 18. From the stats you will see that the ambitions are up year-over-year, contribution is increasing and the number of Almost Family agencies rated four stars or better we're up to 74% at December 31, 2018, up from 72% at September 30 and 68% at April 30. The most important point that I can note here on the integration is that we are talking about how all of this where it puts us in more of a growth mode and a more compelling joint venture partner. These are the strategic conversations and get to the real rationale for why we acquired Almost Family in the first place. The cost energies as certainly been beneficial and we're continued to do so be so in 2019. The more consequential conversations and discussions or what happens from here and that's what has us excited. The transformation phase that Keith mentioned earlier, it gets to the heart of putting us in growth mode. This phase includes specific strategies to pursue new growth opportunities through market expansion and extension of our co-located and tri-located service offerings. In our minds, this is fairly low hanging fruit that we can go after and it's virtually untapped at this point. We will begin to do so as the year progresses. Another area where we can leverage our more national platform is through additional acquisitions to fill specific needs and in closing new joint ventures with both small and large hospital and health systems. Looking at our organic growth, we had strong results again in the fourth quarter. Home health admissions were up 7.8% and hospice admissions were up 9.2%, which were both above our targets of 5% to 7%. For 2019, we are targeting similar growth as we began to see more of an impact from bringing our acquired locations up to our standards as that the real engine of our growth and likely the most attractive to our partners and investors alike. We will bring it all together with our quality scores and we continue to shine there as well. We've outlined all of these scores on Pages 20 through 21 of the supplemental, but I would highlight in particular that our same-store LHC quality scores were up to 4.75 from 4.74 in October and almost family improved as well up to 3.63. Thank you, again to all of my LHC Group family and our colleagues, and also for you listening in to the call today. Christie, we are now ready to open the floor up for Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Brian Tanquilut of Jefferies. Your line is open.
Brian Tanquilut: Hey, good morning guys. Congratulations on a great year. So I guess my first question is on the joint venture, so you guys announced Geisinger earlier this week. So how should we be thinking about the remaining opportunity for JVs in the pipeline and how you think you can continue to ramp organic growth within the JV assets? And also just if you can give us more color in the Geisinger agreement and the rollout plan and the growth strategy for that market? Thanks.
Keith Myers: Sure. So we'll tag team that a little. I'll ask Josh to help me with that. Josh has been very involved on the Geisinger joint venture. So on the JV strategy, if it's possible, we're more bullish on the JV strategy today then we've been in the past even and we've been very bullish on it on the past. But I think we want to be more bullish because we continuously learn and improve our processes and we learned a lot more from larger systems. They're harder. They have much harder hurdle to overcome in terms of different payer mix and value-based models that they challenge us to participate and perform in. And so when we have the opportunity to bring those skill sets that we learned in places like Ochsner over a number of years and then bring that to a joint venture, like an Ochsner - like a Geisinger, I'm sorry. And there was a process; they were looking at other people in the process. But for me it was rewarding to see us participate in that process and to be able to respond to all the things that were important to them and to win that process and understand why we want to process knowing that it's based on our capabilities and performance, not on salesmanships or any politics that are involved. I just want to say that it's a compliment to the whole team and it's something that I feel really good about. The thing that I'm excited about looking forward is the number of inbound calls that we are getting today. For those of you that have been with us for many years, you know that when we did the first hospital joint venture in 1998 and we're doing something that wasn't well known and there weren't very many around at all. And now we've created a component of our business model that's very much mainstream. And the majority of our pipeline is made up of calls that are coming inbound to us. And a decade ago the opposite was been true. The majority of our pipeline was made up of corporate development activities where we were going out and knocking on people's doors. So that says to me that we have real momentum behind it. It's something that we do exceptionally well. We've developed a model that can be replicated. And in terms of organic growth, we really like it because we can see where the organic growth is going to come from in the future simply by looking at the number of lives that these health systems are caring for. And as we plug ourselves into that system and create value and earn that business through leading quality scores and patient satisfaction, the models become very predictable. Josh you want to add anything there.
Joshua Proffitt: Yes. Keith that's great. Brian, great question. I guess Geisinger is such an exciting opportunity for us here at LHC Group. I mean as everyone is well aware, I mean they have such a strong reputation and brand and the Pennsylvania and New Jersey markets. So it couldn't be more excited that they chose us to be their partner. I had been working very closely with their executive team for the better part of a few months, and the momentum we already have in advance of an April 1 closing in Pennsylvania and ahead of June in New Jersey, on the integration planning, the transition planning, identifying opportunities for improvement is well underway, and probably a little bit ahead of schedule compared to some other conversations and acquisitions we've done, previously. The other thing that I would know and highlight about Geisinger that makes it really unique and quite exciting, as a little bit of a more innovative partner that they've already exhibited in the conversation we've had with them is not only the 35 million run rate revenue and it's in these great markets with a great partner, but they're also affiliated with their own health plan with Geisinger health plan. And the conversations around the managed Medicare as well as the managed Medicaid products coming in and bringing our clinical programs, and bringing our quality scores and readmission capabilities is really going to take that JV to somewhere over the next few years, where you're going to be here and I was talking more about the results.
Brian Tanquilut: I appreciate those comments. So just a follow-up in that, on the slide deck, by the way, good job with a slide deck, one of the things that you highlighted are the different contracts with Medicare advantage plans or private payers that you're working on with risk? So if you don't mind just walking us through how we should be thinking about the downside and the upside potential in those contracts that are underway? Thanks.
Joshua Proffitt: Yes, great question, Brian. So as we talked about on the last call, we're really monitoring our managed care improvements across three areas, improvement in rate, and we're continuing to see incremental improvement, they are both on the LHC side as well as the Almost Family side, margin improvement in the underlying business. But to your point, Brian, it starts getting more interesting when you start coming up with new arrangements. And we've got probably four now that are finalized that have true upside a potential within them. A little bit of downside, but mostly upside to be quite candid. And those arrangements have a little bit different components to them, but at a 30,000 foot level, I would say they all have a base rate, and then quality metrics that if we achieve, we have the ability to generate savings and therefore earn some upside to that base rate. And it would be the quality metrics you would expect reducing rehospitalization rates, emergency department utilization, things of that nature. But I think now that we have some and they're operating for a few months. We ahead into 2019, we've got some ammunition to go to other payers with some as evidence of ours to engage in more of these conversations and get more and more under the belt.
Donald Stelly: Brian, this is a Don. Josh brings up an interesting point. And yes, how should we think about the up and down side? I'll emphatically say that on the downside, it's around quality and for years we've said that once we find a payer that really is aligned with us; we'll deploy what we have to achieve those outcomes. So when and if you hear us continued to announce these I really wouldn't even focus on the downside because we're that confident of the programs that are going to underscore the value and get the topside payment for us much like we've done an our ACO with him period.
Brian Tanquilut: All right, got it. I'll jump off the call and get back with you. Thank you.
Keith Myers: Thanks Brian.
Operator: Thank you. Our next question is from Kevin Ellich with Craig-Hallum. Your line is open.
Kevin Ellich: Hey guys, thanks for taking the questions. I guess Keith; I wanted to start off with Almost Family. Clearly the integration's going well ahead of schedule, you were coming up on, you guys handle realizing the deal in April. Just wondering if you could kind of talk about compare and contrast how it's gone relative to your initial expectations when you announced the deal and also what surprised you the most about Almost Family, both positively and areas that could use some work?
Keith Myers: So I guess from a surprise standpoint, I feel like you want me to say something to you? But there were no negative surprises, but there were no negative surprises because of the incredible amount of diligence we did on the front end. And the work streams that we developed with BRG in the diligence process way before we went live. So we didn't leave much to risk. So the biggest surprise, I think for me then was the way that the cultures of two organizations that have been around for a really long time came together and really began to function as one team. I probably anticipated - would have anticipated worst case and thought that there would be some rivalry and internal political battles we would have to fight. And we didn't face any of that at all. From day one for example, the division president from the Almost Family side and the division presidents from the LHC side who obviously were rivals and competitors at one-time. I came together with a desire to learn from each other. And together identify the best practices and have everyone move to those. A lot of that had to do with leadership and messaging, my hat's off to Donald that. Don did an incredible job of bringing the together and creating one. To rather than walking in and saying Almost Family welcome to LHC, we've got all the answers now, let us trained you on what we do. That wasn't our approach. And I think that's something about us culturally. We think that same approach when we go to a small hospital joint venture. Even though we may know some things that can help them, how we message that is really important. If you walk in on day one and you have a sense of arrogance about you, you're not going to be very successful. So I'm just I want to expecting this question so you're getting it on the fly but that those are my thoughts.
Donald Stelly: Yes. I echo everything Keith said and there were no surprises candidly. And I think we were very open about that when we announced this deal and we will all sit in [indiscernible]. I'll say a little closer to home. I'm very pleased that we have not one high level leadership position open. We've remodeled, we restructured and we're Smack Dab in the middle of the Homecare Homebase optimization. As well as on the home and community based side they continually, which is going to be our platform moving from the legacy PCMS. Those are two instrumental components to finalize in this integration and poisoning the growth at both that all three of us actually in our prepared comments talked about. So in summary, I echo what Keith said, there were no surprises. The upside is already being recognized and the back half of 2019 steps up extremely well. Then for those who have followed us and where conservative and for us to be so out there and verbose on this should give you a lot of confidence in what we're feeling about this.
Kevin Ellich: That's great guys. I appreciate the candid remarks. And then going back to the managed care front, clearly you've seen some success - negotiating agreements with payers. In the slide deck again, we see the 7% increase in 2019 for your legacy business. Can you talk about the managed care environment and I guess, are you done negotiating with the payers or should we see potentially some more rate increases this year?
Joshua Proffitt: Kevin, you can ask me that question every quarter from now for years to come. And the answer will be, no. We are not done negotiating. This is definitely a journey. But it's a journey that has more momentum and more optimism than this journey has had in the last few laps around the track. And it's the overall value proposition and the fact that the managed care payers now, whether it's evidenced by the improvements were having in rates these innovative models or as evidenced by what's going on in the greater kind of healthcare ecosystem, you can tell that the managed care payers now fully believe in the downstream benefit and the value of providing more care in the home. So when you finally have that breakthrough with them and they are as you know, trying to bend the cost curve on a PMPM basis and they see us as a key component to doing that. The conversations are just a lot more strategic than they've been in the past. So the battle is not won. The negotiations are far from over, but very confident and very encouraged about where we sit today and where we're headed. You overlay on top of that our position and more we stand out from a quality and a readmission rate perspective and that really positions us well as we're having those conversations.
Kevin Ellich: Nope. That's helpful. And then two last ones for me. First, you guys closed 22 centers or locations this quarter, wondering if there's plans to see some more consolidation or closures that we should be thinking about. And then Josh, on the cash flow statement, looks like there was some moving parts and working capital, I think AP and accrued expenses was a decent size use of capital or of cash, wondering if there is anything driving that and if that's going to reverse next quarter? Thanks.
Donald Stelly: So this is Don. I'll take the first part. We would never want you surprise when we continue to close locations and here's why. Certainly as we've scaled, we find ourselves falling all over each other and states like Tennessee, Kentucky or of our monthly operations review process is to always look at some EBITDA agencies and look at the market in general and see by closing one, could we be more accretive in the market. Case in point, we actually go into MLRS right after this call. We will always look at that. So that's just part of our discipline and rigor. I would say though, when we do close them, we do analyze the goodwill, we take all of that into account to make sure it's still the best decision short and long-term. So continue to do that and always will. So Josh will take the second part.
Joshua Proffitt: Yes. So both AP prepaid expenses, CapEx and all those areas, you do see an uptick. A good portion of that is attributable to just the size of the company and Almost Family business. There are some - pieces to that that won't be continuous and recurring. For example, some software costs and IP contracts and bringing new licenses in for the Almost Family side of the business. And then you do have a piece of what's in the AP, for example, probably 4 million or 5 million of accruals related to our Home Office expansion project that is underway. You're going to see that coming throughout 2019 and then to 2020 before we wrap that up. So that will impact our free cash flows to some extent. We still resulted with an adjusted free cash flow of $110 million for 2018. You would likely see us in the $140 million to $150 million range for 2019. But you'll have a little bit of pull on that free cash flow for the Home Office expansion. But that as with every capital allocation decision we make, there's a very prudent fiscally responsible conservative financial reason we do those things. And just to give you a nugget on that, we're in a 67,000 square foot building here at our main Home Office. We have two other locations throughout Lafayette that's about another 40,000 square feet. We are consolidating it all into one project, eliminating a lot of lease and other costs and at the end of the project, they will definitely be a creative to our bottom line as we go into 2020.
Kevin Ellich: Excellent. Thanks for all that. Thanks guys.
Joshua Proffitt: Yup.
Operator: Thank you. Our next question is from Joanna Gajuk with Bank of America. Your line is open.
Joanna Gajuk: Hey, good morning. Thank you. So on the guidance, a couple of questions here. So I appreciate a comment that the guidance assumes $25 million of synergies. So these are earnings cost synergies, correct?
Joshua Proffitt: That's correct, Joanna.
Joanna Gajuk: So then are you assuming any margin improvement on top of it that you mentioned, on the prior calls in terms of the potential for moving margins on the AFAM assets higher and also are there any assumptions around revenue acceleration or any type of color you can give us, what the guidance assumes around AFAM assets?
Joshua Proffitt: Sure, sure, great question. So as you pointed out, the guidance is still anchored to the $25 million of realized cost run rate synergies. We are confident that we will exceed that by the back half of the year, so there's a little bit of potential upside there. On the margin improvement, I will tell you Joanna, from Q2 to Q3, we saw margin improvement in the AFAM business again from Q3 to Q4. We've already seen some. So a lot of that is already in the run rate. We have budgeted a little bit more incremental margin improvement on some of the AFAM assets that is reflected on our guidance. So you do have some of that lift as well. But some of the upside if you will for this year and beyond is really in the revenue synergies. Revenue synergies either in growth as we come off the heels of the Homecare Homebase conversion and deploying some of - our tools that we utilize for market intelligence and sales growth as well as some of the co-located market strategies that we're deploying. None of that is in this guide. But that's for two reasons. One, we're conservative and two, we may not see some of that until the late part of 2019 and then really into 2020. But the growth we're projecting for AFAM is that 3.8% that we've realized this year. We are confident that we'll be able to continue to maintain positive growth, which is welcome improvement to the AFAM book of business prior to the merger.
Joanna Gajuk: Right. And then also on the guidance, one more piece of the - in terms of the deals, how much of the deals that you announced recently were included? It sounds like maybe Geisinger is not included, but I guess the outline. So can you just clarify that to us too?
Joshua Proffitt: That's correct. So and maybe I'll go ahead and address just the revenue guide at this point as well in Q&A. So our guidance, if you look at Slide 19 and the supplemental deck, it lists a lot of JVs that have occurred since Almost Family. All of them including unity, the $4 million from unity on an annual basis is included in our guidance. Geisinger as we would never, until it is closed is not included in our guidance. So from April to the end of the year on half of Geisinger and then June to the end of the year on the other half of Geisinger, none of that is in our revenue guide. Within our revenue guidance though, just to clarify a few points, the $30 million of annual revenue attributable to the 22 locations that we closed and obviously not in the guide and would be an adjustment if you will to the consensus on revenue. And then Eric and I've had several conversations and there has continued to be a little bit of confusion among a few folks around revenue before and after implicit price concession. So we are hopeful that we've kind of for once and for all nailed down our revenue, made it real clear and guided appropriately for 2019 with all those variables in place.
Joanna Gajuk: Great, that's helpful. And the last piece on the guidance, are you assuming any additional spending as you prepare for PDGM? I guess your competitor to talk about some changes there. So it just one also here, how do you prepare it? I appreciate the comments about, the building introduced in Congress and what kind of release in get but assuming it doesn't I assumed that you a prepare assuming that the direct space the way it is currently. So how did you prepare any - are there any incremental costs and you could not incurring 2019 as you prepare for 2020.
Keith Myers: Yes, great question, Joanna. And the short answer is that any costs are baked into the guidance that we've issued. And don't foresee a lot of costs to be frank, but the ones that we do have our baked in to what we gave you.
Joanna Gajuk: All right. So are you doing anything, specifically that you can find from us in terms are you preparing to different set of current acres. Are you doing anything around, your staffing models or any systems that you might require or I guess there's also some discussions out there in terms of the PVG and introduce new types of patients or maybe services to Home Health like behavioral health. So anything there that you can kind of flag to us as you prepare? Thank you.
Donald Stelly: Joanna, this is Don. I think I'll be able to give you more detailed color that you're probably looking for as we go into the call. What I would say is Keith alluded to the work streams that we developed in accordance with BRG to do the integration with Almost Family. We're actually excerpted in a playbook similar to that far PDGM and we're developing work streams that looked exactly what you're talking about. The types of patients and the required interventions and the discipline makes that word going to look at to do that. That's at a very high level and what I would call that work stream level right now and our plan has us really having that come to maturation somewhere around June or July. So if you could give us the latitude to cover rent alone the way I think it will appease you.
Joanna Gajuk: All right. So I guess we'll talk about this later. Thank you, so much for taking these questions.
Operator: Thank you. Our next question is from Matt Larew with William Blair. Your line is open.
Matt Larew: Hi, good morning. I wanted to ask about HCI, You mentioned that one of your focuses in 2019 is to maximize value of HCI. So what steps are you going to take in 2019 and how does that manifest in terms of no potential acceleration and revenue or new opportunities do might see there?
Donald Stelly: So this is about, let me start off with this. Is that the HCI service lines that make up the segment, when we did the merger, there was kind of a thought that some of them are lost leaders and I know speaking put that out in her note. We've taken a different view that each one of these has such huge opportunity for the portfolio in general, but they have to live within their own budgets and a creek. And I'm very pleased to say that that progress has been made, whether it's our advanced care house calls, which was formerly MD2U, it had lost runs that are now corrected. Fabulous opportunity with Imperium, it's doing the same thing now on a PMPM basis. So that the Medicare shared savings is not something that pays for the loss runs, but it's on top of it. And finally, I couldn't speak highly enough that LTS in that segment. So from an operations perspective, Keith, Josh, and myself as well as Bruce and others said, listen, let's first get the fundamentals in a very congruent and like fashion with everything else and LHC Group. And then let's take it out to market and do different things with it. And I'll let Keith maybe expand on some of that or Josh.
Keith Myers: I'll jump in specifically on Imperium; I know Don's really been doing a great job candidate. I want to give him a lot of Kudos for the improvements already in advance care house calls and the LTS business. But the ACO this is Imperium and you all heard me talk several times about our excitement for that and it was almost the diamond in the rough in the merger. The learnings that we're having there are going to pay dividends and bear fruit in all of the managed care conversations I alluded to earlier. It's the same approach just with a different payer source. So what we are able to learn there is going to be very helpful in those negotiations. And then in implementing and executing on those contracts. You're going to see incremental ACO volume growth and Imperium as well. Both in new commercial contracts on the PMPM side as well as getting new ACOs into the product. We've grown from 16 ACOs in 2017 to 30 ACOs currently and we've got 460,000 attributed Medicare lives up from 140,000. So the growth has already proven evident and I think the leadership team there, really with Bruce driving that now is taking that to another level and you're going to see more growth. And to Don's point, not just for allowing the MSSP to make it profitable, but to let it stand on its own as we get into the second half of this year. And then the MSSP is just an additional incremental jolt in the third quarter.
Donald Stelly: Bruce, do you have anything to add?
Bruce Greenstein: I'll just add to what Josh mentioned. It's a bit of a training ground for our company to be looking at total cost of care across the total post-acute spectrum. So as we work with our ACO, the ACO segment becomes a mine for data for us to look at Medicare expenditures across the entire continuum. We've recognized what the costs of the total post-acute care expenses look like for all of our ACO customers. And then from the ACO perspective, are coming up with solutions to be able to help manage costs for our ACO customers. But the positive externality is that as a company LHC Group gets to understand the spending patterns and know how to help out those that are interested in managing the total cost of care for our managed care plans as well as the physicians that we work with within the ACO. And we were able to bring solutions from the Home Health side to our customers. So it's been positive for both sides. At the same time, we've recognized deficiencies within the company of Imperium itself and have a much more positive financial outlook for the rest of the year. And as Josh mentioned, growing the business both on the non-Medicare side, so in the form of commercial contracts with large payers as well as growing the book of Medicare and as the window opens for ACO enrollment later this year, we expect to see growth there as well.
Matt Larew: Okay. Thanks for that Bruce. This question may stick with you as well, which is on the personal care side here. With the Medicare advantage rule change last year in April, maybe there wasn't quite enough time ahead of July for these plans to incorporate more broadly some of the supplemental benefits. But now that there's been a year under the belt, just wondering what type of conversations you might be having with payers in terms of using the personal care business to help them out there.
Bruce Greenstein: Yes, we're having two types of conversations. We had some that came in right at the wire for the 2019 filing date and we are agreeing to be either a provider where the rates make sense to us and we also are agreeing to work with our large - most of these MA plans we work with as a provider on the Home Health side to start with. As they start to venture into personal care services, it's interesting because the large plant mainly don't have a lot of experience in deploying these services. We have a broad range of experiences from our core group and then from the Almost Family markets as well. So over time, we're helping the managed care plans understand how best to use personal care services to use it across their post-acute services to manage total cost of care as well as make it a meaningful and affordable benefit to offer for the long run. So we continue to be in these conversations. We're working out our provider arrangements today. We expect there'll be a lot more for the 2020 service here and those conversations are robust right now.
Matt Larew: Okay. Thank you.
Operator: Thank you. Our next question is from Patrick Feeley with Barclays. Your line is open.
Patrick Feeley: Hey, thanks. Good morning, everyone. One of your competitors was talking about seeing a little bit of star rating decline with the April release due to the new measures that CMS is introducing in the program? Just curious if you expect to see any decline there in April? And also just any update on how long it may take to get the Almost Family and recent acquisition star ratings up to where the LHC same-store ratings are trending? Thanks.
Keith Myers: I would say that our internal system from SHP, which is more concurrent monitor does not show that decline. So I would not expect that in the aggregate. Certainly some agencies slip up and slipped down, but so in the aggregate I would not. And as I told our Board last week, putting our performance improvement structure inside of Almost Family has what incremental improvement been demonstrated from right now. But really we don't anticipate substantive movement up to the LHC Group until each of the regions is finished six months after. It's finished moving to the Homecare Homebase one instance. And the reason that's so important isn't about Homecare Homebase, but the processes that dovetail in accordance with that, from admin all the way through our end of episode audit process. So in totality, probably somewhere around April of next year of 2020, I would expect that all of those have very similar characteristics and star as well as LHC rate improvement in that portfolio.
Patrick Feeley: Thank you. That's helpful. And just a clarification on the location closer during the fourth quarter, you disclosed those at about $29 million run rate revenue associated with them. Just how much of an impact that have on revenue in the fourth quarter? Where those out to the majority of the quarter?
Joshua Proffitt: That was about $7 million, $7.5 million of revenue impact on the fourth quarter as you're trying to bridge to where we ended?
Patrick Feeley: Yes. Okay, great. So they pretty much were out from the beginning.
Joshua Proffitt: Yes.
Patrick Feeley: Okay. Thanks a lot guys.
Joshua Proffitt: Yes. Thanks, Patrick.
Operator: Thank you. Our next question is from Frank Morgan with RBC Capital Markets. Your line is open.
Frank Morgan: Good morning. You talked about the backlog of deal opportunities you see in your liquidity to be able to execute on those? But I'm curious, what would you say, when you look at that backlog? How was that skewed in terms of a Home Health care versus Hospice in personal care and what should we realistically expect to see the most action for external growth across the balance of the year?
Keith Myers: I think the majority of the Home Health, just whereas a lot of interest that coming from and that's typically our lead in the new market. Of course as is case with Geisinger, when we go to Geisinger, we pick up both Home Health and Hospice. We're lucky if we get that. If we don't pick up a Hospice, then Hospice moves to a build out strategy for us and build out in our mind, is not a startup, but buying a small regional Hospice and bolting it on to potentially rebranding if appropriate. And then personal care is a little harder work, because as you know, each state is different and you have different reimbursement and different market opportunity, different margin in every state because and so there are some states that we are more bullish on building out a personal care platform than others. And there are lot of things that we take into consideration and the scoring and prioritization of states.
Frank Morgan: The second question, I apologize for being all over the place here, but you talked about the conservatism and your guidance in the fact that Geisinger is not in the - in your guidance. But just for the record, when that closes, will that actually be accretive to 2019 once it closes?
Joshua Proffitt: No, Frank. This is Josh. That's a great question. It's not in the guidance at all and when I was referring to it and Joanna's question, I was talking about revenue. I would not make anything for Geisinger to be upside to 2019. 2019 is very much going to be kind of the transition stabilization and get that one ready to be accretive and additive in 2020. It's not going to dilute, but it should not be a creative either.
Frank Morgan: Gotcha. One last one and I'll hop. You talked about the - some of the risk arrangement, I think Kevin, we asked about those and you talked about the base rates and the bonuses there. How are those base rates structured? Are those perdiems or are those episodic rates? Maybe any color there? And then I'll hop off. Thanks.
Keith Myers: Yes, Frank, there's some of both. There are some that are episodic with an upside and then there are some that are per visit with upside. So we have some of each.
Frank Morgan: Okay. Thank you.
Operator: Thank you. Our next question is from Whit Mayo with UBS. Your line is open.
Nathan Leiphardt: Yes. Thanks. This is Nathan on for Whit. You mentioned the co-location strategy a couple of times and I think the slide deck said you expect to accelerate that. Is there any more detail you can give us around this, both in terms of pace, what it could mean from cost savings or revenue growth perspective? And then is that more about acquiring or building hospice assets where you already have Home Health or are you looking at existing overlap markets and consolidating some of your existing agencies into single location? Thanks.
Donald Stelly: So really good question. And it's actually the later first. The first part of this approach is where we have multiple assets. We want to co-locate and kind of create a one domain if you would and how long would look at that versus the pace of acceleration. That is part of our organic buildup that we lead to in the 5% to 7% for Home Health and the 6% to 8% for hospice. So it's kind of baked in there versus say how many locations are how many markets I could do that. We've identified literally 72 different markets. But the way we go about it really because we budget our organic growth by market or by location that is really underscoring those two values that I've talked about. As for the way we go out and Keith alluded to it earlier in the field out strategy and the guy singer example he gave, that is something we've got to go acquire and that is kind of outside of our normal purview of the operations that we've put in the deck.
Nathan Leiphardt: And so it sounds like this is a little bit more around a topline opportunity rather than just the cost savings of having a single building?
Donald Stelly: It's absolutely that because remember on the cost savings, you may lose a little G&A from a building and the rent, but the infrastructure, which is the leadership mostly still has to be in the same 485s and on the regulatory paperwork and that doesn't go away. This is all about underscoring the long-term organic growth proposition.
Nathan Leiphardt: And then just to clarification on a PDGM in the behavioral adjustments, if the industry did not make behavioral adjustments to the extent CMS is modeling, it would essentially just have to give you an extra increase in 2021 to make up for that to keep it budget neutral correct?
Keith Myers: Yes. I mean, in theory the intention is that it's budget neutral and if it results in year one and a cut, then they were then, come back the next year and recalibrate it and keep that from happening again. So that definitely is the intent, Nathan.
Nathan Leiphardt: All right. That's it for me. Thanks.
Operator: Thank you. Our next question is from Dana Hambly with Stephens. Your line is open.
Dana Hambly: Hey, thanks for getting me. You've mentioned in a couple of times the conservative nature, and it's historically LHCG was, was a pretty consistent beaten raise and 2018 was within line and a great result, but probably a bit choppier than most of us who have been following you for a while would have expected. So just curious, do you think was AFAM a challenge for you in visibility last year? Or was it more around ASC 606 and divesting some things? And do you feel a lot better about your visibility on AFAM this year or do you think this is just not a fair observation?
Keith Myers: Yes, that's a very fair observation. And you've been with us for a long time and you're right. And I would say, 2018 from a financials perspective was our easier term a little choppy. But the visibility on a lot of side we now have as we head into 2019 could not be more clear. So again, very pleased and proud of the team to deliver what we did deliver in 2018. As we've said, when we reissued guidance, when we consummated the AFAM merger, we put it out there with a range that could potentially get you up in the 14% of accretive range. And we deliver that. Now, it may have been a little choppy along the way and there may have been AFAM lack of visibility. But I'll tell you that where we sit here going into the future, I think you've got core LHC Group and our principles and our conservative nature is where are we sit here on February 28.
Dana Hambly: Okay, good to hear. Thanks very much.
Operator: Thank you. And our next question is from Matthew Gillmor with Robert Baird. Your line is open.
Matthew Gillmor: The first one on guidance. I was curious with the agency closures, is there any opportunity for you to recapture some of that revenue with other agencies and as that perhaps a source of conservatism and the guidance or is that the nature of those closures means that you're just not going to have to be able to recapture some of the revenue?
Keith Myers: Matt, that's a great question. And I would say, probably in half of the locations you have that opportunity, where it may have been overlap situations with a legacy AFAM and a legacy LHC location for example. So you have one underperformer, you close it, you eliminate all the G&A and the loss runs, and then over time you go back and rebuild the market share. So there will be some ability to build some of that back. That's a good observation.
Matthew Gillmor: Okay. And then the second one, just on PGDM strategy question, obviously the joint venture strategy you all have could provide some real advantages because there's more reimbursement dollars associated with referrals from the inpatient setting. Can you just sort of update us on the percent of referrals you get from your JV hospitals or that collaboration rate and sort of what would be the opportunity going forward?
Keith Myers: Yes. So that's really good question. So think of the number of referrals, and I don't have the exact stats in front of me, but probably close to 50% of the admissions we take into the company now come from - come out of hospitals and about 50% from the community. Let me say a little bit about that. So in every joint venture that we're in, we don't rely only on the patients that are being discharged from the hospital. Part of what the hospital partners want from us and don't have when we go in, we go ahead and we inherit a Home Health, a hospital-based home health operation where essentially 100%, nearly 100% of the admissions that Home Health agency are coming from discharges from the hospital. They're not reaching out to the community and providing care for patients who may need Home Health on a pre-acute basis to avoid a hospitalization in the first place. For those partners that are focused on value based models and population health that becomes really important, so that's something that we bring to the table. First, I want to make sure that that you had everyone understands that. Now back to your question though, it is true that there's more favorable reimbursement for patients being discharged from the hospital. We should incentivize patients to move out of the high cost setting to low cost setting. And we're investing more resources in transitional care and a) there are hospital partners as to identify those patients that are appropriate for Home Care and it can move downstream from more costly settings to Home Health, not just being discharged from the hospital earlier, but avoiding other post-acute verticals on their journey to Home Health and moving to Home Health more quickly, bypassing, mainly SNIFF and at times IRF and going straight to Home Health. That's the real role that we're playing a long-term. That's a great question.
Dana Hambly: Got it. Thank you.
Operator: Thank you. And that does conclude our Q&A session for today. I'd like to turn the call back over to Mr. Keith Myers for any further remarks.
Keith Myers: Okay. Thank you, operator, and thanks, everyone for joining us this morning for excellent questions. As always, if you would like to speak with us at any time between earnings call, Eric Elliott is always available to take your call. And if you need contact directly with members of the management team, Eric can arrange that. We want to be here for you to answer questions. So again thank you for joining in and thank you for supporting the LHC Group family. Have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a great day.